Operator: Good afternoon and welcome to [technical difficulty] Second Quarter 2022 Conference Call. At this time, all participants will be in a listen-only mode. After the presentation, there will be a question-and-answer session. Please note, this call is being recorded. [technical difficulty] Tina Mirfarsi, Vice President of Communications and Culture. Please go ahead.
Tina Mirfarsi: Hello, everyone and thank you for joining the call today to discuss our second quarter 2022 results. Joining me today from the company are David Meniane, Chief Executive Officer; and Ryan Lockwood, Chief Financial Officer. The prepared remarks and responses to your questions could contain certain forward-looking statements related to business under the federal securities laws. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with the business. For a discussion of the material risks and other important factors that could affect results, please refer to the CarParts.com annual report on Form 10-K and 10-Qs as filed with the SEC, both of which can be found on the Investor Relations website. On the call, both GAAP and non-GAAP financial measures will be discussed. A reconciliation of GAAP to non-GAAP financial measures is provided in the CarParts.com press release issued today. And with that, I would now like to turn the call over to David.
David Meniane: Thank you, Tina and good afternoon, everyone. As reported in today's release for Q2 2022, our team achieved record sales of $176 million, up 12% year-over-year and adjusted EBITDA of $8.3 million. This represents our 10th consecutive quarter of double-digit year-over-year revenue growth and a 44% increase on a two-year stack. We're also excited to announce our new $150 million, five-year credit facility with our partners at JPMorgan Chase. Our leadership has continued executing on the four areas of focus; outstanding customer service, operational excellence, financial discipline, and innovation. Number one, outstanding customer service. As a reminder, over one-third of our e-commerce revenues come from repeat customers. As we think about capital and resource allocation, we see a significant opportunity to increase our focus and efforts on customer-centric initiatives. Our entire team is fully committed to simplifying and removing the stress from vehicle care by redefining ourselves from a parts company to a customer-oriented company with an unparalleled digital first experience. Number two, operational excellence. As the business continues to grow and evolve, we see opportunities for our teams to collaborate and improve performance by systematically removing inefficiencies and improving [technical difficulty] focusing on driving results is key for us, as evidenced with our year-to-date ear to date results and our ability to simultaneously open two distribution centers in this environment. We're always raising the bar and aligning people, process, and strategy with the needs of our customers, which is part of our DNA. Number three financial discipline. Over the last three and a half years, we have invested in building a scalable foundation, which we are now leveraging. Our management team strongly believes that financial resilience and discipline capital allocation will be key to our success in times of market uncertainty. Profitable growth and free cash flow generation are more important than ever and it's where we will focus our energy and resources. Our team remains committed to being prudent and intentional with every dollar we deploy. Our business model is rooted in positive unit economics, even after fulfillment and customer acquisition. This will help create an exceptional company for our shareholders to own for the long-term. And number four, innovation. As we think about the future, we are committed to growing our addressable market and turning more of our customers into repeat customers. The opportunity is to do-it-for me customer who relies on outside help to complete the repair or maintenance job. In the spirit of simplifying and removing the stress from vehicle care, we have been working on expanding our offering to include the ability for our customers to find a trusted local mechanic to assist with their repair. And we're excited to report that we have already completed hundreds of successful bookings. We recently launched a new experience on our website, which is live in certain test markets. With this newly built functionality, some of our customers have the option to book an appointment with a certified mechanic of their choice directly on CarParts.com with full transparency of the installation price. Now, Ryan will now discuss our financial results and a quick operational updates.
Ryan Lockwood: Thanks David. In Q2, we generated revenue of $176 million, up 12% from the prior year period, resulting from the great execution by our entire team. On a two-year stacked, revenue increased 44%. If you'll recall, Q2 of 2021 benefited from the inflow of pandemic-related federal stimulus funds, resulting in an increased consumer spending. Gross profit for the quarter was a record $62 million, up 16% with gross margins improving 120 basis points to 35% this year versus 33.9% in the same year period. The improved gross margin continues to reflect purchasing and free savings being driven by our data science and supply chain teams. Net income for the quarter was $4.1 million versus $2.1 million in Q2 of 2021 and adjusted EBITDA in Q2 was $8.3 million flat to last year, reflecting the impact of self-funding, our new Jacksonville distribution center, including rent and startup expenses. Turning to our balance sheet. As David indicated, we entered into a $75 million credit facility with the ability to accordion [ph] to $150 million. We believe the terms are attractive and that it further reinforces that we have enough liquidity to grow without tapping the capital markets. We appreciate the support of our partners at JP Morgan Chase, who have been with us for many years. At the end of Q2, our facility was undrawn. At the quarter end, our cash position was $15 million and we were successful in building our inventory to $163 million. As a reminder, we are currently carrying approximately $40 million or eight extra weeks of inventory to account for longer lead-times in the supply chain. Over time, as the supply chain normalizes, we expect this inventory to be converted back to cash. We will likely work down some of that safety stock as we focus on free cash flow and further reinforcing our balance sheet. Our goal remains to be able to deliver to 80% to 90% of our customers in one-day transit time and we continue to be pleased with our Texas expansion, which is now fully stocked. We also recently opened our brand new Jacksonville, Florida distribution center that includes new best-in-class technology tools and that over time should drive operational efficiencies. Despite what we're seeing in the broader macro environment, we continue to optimize the business towards a balance of growth and profitability. For the first four weeks of Q3, our robust inventory position is helping us against prior year comparisons. For net revenues in the back half of 2022, we continue to project double digit year-over-year growth. And with that, I'd like to turn it back to David for some closing remarks.
David Meniane: Thank you, Ryan. We're excited to build a trusted and disruptive platform where we can help our customers solve their auto repair and maintenance needs. Our goal is to become the number one destination for customers that need help fixing their vehicles. Q2 was another record for a company and this performance would not have been possible without the incredible dedication from all our teams across the globe. As we look forward to the next evolution of our company, we are honored, humbled, and excited to be working with such an amazing group of people. Thank you again to all our team members for coming to work every day, ready to crush it. And as we say at, CarParts.com, get after it. I'll now turn it over to the operator to open it up for questions.
Operator: [Operator Instructions] Our first question from the line of Victoria James from D.A. Davidson.
Thomas Forte: Thomas Forte, here are a couple of questions. So, congrats on the performance in the quarter. the first question I had is can you talk about your gross margin performance? What were the contributing factors? Looks like you had gross margin expansion versus last year?
Ryan Lockwood: Yes, thanks, Tom. Obviously, we feel very good about how gross margins turning out both up nominally, sequentially, and year-over-year. We continue to leverage our data science team to basically optimize for price as well as leaning on our vertically integrated supply chain, which I think gives us a benefit over some of our competitors, who have a worse ability to stay in stock compared to us.
Thomas Forte: Great. And then second can you talk about where you are now and -- you talked a little in your prepared remarks, but where are you now and you're do-it-for me efforts? And when can we expect that to start to meaningfully contribute to your revenue?
David Meniane: Yes, hi. Tom, it's David, I think if you think about auto repair in general, the majority of the time -- at least my experience has been its complex and stressful. And the long-term vision is really to make auto care simple and stress free. And I think that do-it-for me the opportunity as part of that. Obviously, it's a big project, it's a big endeavor, but we're very excited about the progress. I think the great thing is that it expands the total addressable market. But more importantly, it gives our customer a new option, depending on what type of repair they want to do. Now, as of today, , like we call it out in the prepared remarks, we've done hundreds of successful bookings. We have the experience that is now live on the website in certain markets. Now, it's just the beginning. But in the last three months, we've made a big push to get this going. Super proud of the efforts of the team. I don't expect it to meaningfully contribute to topline. Yes, we're really focusing on the customer experience, but over time, and especially, over the long run, I think this is a game changer for our company.
Thomas Forte: Great. So, last question -- and thanks for taking my question. So, with the expansion of Grand Prairie, Texas fulfillment center seemingly behind you in the opening of Jacksonville, how should we think about your plans for additional fulfillment center square footage over the next 12 months?
David Meniane: Yes, good question. I think short-term, in this environment, we're really focusing on free cash flow and profitable growth. So, we really want to get the maximum out of the current network before investing in the new building. Right now, at least internally, the focus is on operational efficiencies and leveraging some of the tools, the new tools and software that we're implementing in Jacksonville, we're really learning and focusing on driving the most out of what we have in the network. Now, medium term, obviously, as we call it out, many times before we're going to open another DC. The goal is always to provide the best level of customer service and that means one-day shipping to 80% to 90%. But again, right now, as far as the main focus is free cash flow and operational efficiencies and getting the most out of the current network.
Thomas Forte: Got you. And then one quick point of clarification, then, so Grand Prairie expansion in Jacksonville, what percent operational, are there they 100% or they -- how close to 100% are they?
David Meniane: Well, so, Texas, it's pretty far right now. I mean, the team has done a great job on the installation, the staffing, the training, it was an expansion. Jacksonville, it's almost full right now. Again, we got the labor, we started shipping. I think that for 2023 peak season, it should really help us. It went live during the quarter. What I'm most excited about, Tom, is really for the second half of the year that as Ryan called it out in his prepared remarks, we're really targeting double-digit year-over-year growth, but at the same time, kind of, balancing that growth and profitability.
Thomas Forte: Thank you, David. Thank you, Ryan.
David Meniane: Thanks Tom.
Ryan Lockwood: Thank you.
Operator: Thank you. Our next question comes from the line of Austin Vetterick from ROTH Capital Partners.
Darren Aftahi: Hello.
David Meniane: Hey.
Darren Aftahi: Hey, it's Darren Aftahi. Little confusing. Thanks for the call anyway. Hey, guys, hope you're well.
David Meniane: Hey Darren, good to hear from you.
Darren Aftahi: Likewise. Three, if I may. So, I think I just heard you say to Tom's question that Jacksonville's almost full. I guess, how contributory was it topline wise to the business?
David Meniane: Yes, that's a good question Darren. I think what -- the challenge with same-store metrics like this for an online retailer is that for us, you're always focusing on delivery speed and so we're constantly optimizing for shipping times and transportation costs. So, if you're looking at it on the same-store basis, it's kind of difficult to quantify.
Darren Aftahi: Okay, fair enough. I noticed inventory ticked up, but it's sort of slowed on the margin. So, I guess, kind of, having said that, your context about generating cash. Could you just kind of shed some light about container pricing, logistics, supply chain, kind of, where you see things? I know there's been some consternation with COVID in Asia, but -- like just kind of where are we? Have we plateaued in terms of that monkey wrench [ph] system and do inventory levels maybe fall from here, plateau, just any kind of color would will be great.
David Meniane: Yes, I think we're definitely seeing some signs of improvement. Now, whether it's short-term or long-term, it's hard to say. I think we've built some great capabilities in house. Now, to the inventory question and we've always called it out. It's always a game of parts availability and having the inventory in stock close to the customer. Now, in the past two years, to navigate the supply chain disruption, we have to build this extra safety stock and we have been carrying that extra eight weeks or call about $40 million. Now, as I said, because of the signs of improvement over time, I think that you're going to see this inventory level come down and converted back to cash. Now, it is a little more complicated than just giving you a number because it's at SKU level at the vendor level. But I think over the next, call it, six to 12 months, you're going to see some of that inventory revert back to cash, and us carrying less inventory to support this level of business.
Darren Aftahi: Great. And just last one for me. On the do-it-for me, how much -- like what is the source of marketing? Where you're getting -- from? And like how much costs was there in the order related to that?
David Meniane: Yes, so two part questions. So, the number one is the source of customers right now is our existing customer base. On CarParks.com, I think we've built a fantastic destination for auto repair. We have over 100 million visitors on our website. On top of that, we have a pretty robust email list with millions of customers. And again, as we pulled out, about one-third of our revenues on e-commerce come from repeat customers. So, there's plenty of opportunities for us to offer this, this service to our current customers. So, I think right now at least for Phase 1, we're okay with targeting the current customer. Now, the second part of your question is in terms of extra cost. I don't think we're spending any incremental dollars to make this work. What we're doing is really reprioritizing our efforts around the Do-it-for Me initiative. So, we have a technology team, we have a marketing team, we think that to do-it-for me opportunity is going to be a game changer. So, it's just a matter of allocating more resources and more capacity to that, which is how we were able to push out this new phase of the initiative in the last three months. We've made significant improvements as reflected by the several hundred bookings. I think that's going to get better. So, right now, the whole team is really focused on making this phase a success.
Darren Aftahi: Great. Thanks guys.
Operator: Thank you. Our next question comes from the line of Ryan Meyers from Lake Street Capital.
Ryan Meyers: Just one from me. Just wondering if you could give us an update on the mechanical parts business during the quarter and kind of how that tracking and how that contributions been looking?
Ryan Lockwood: Hey, yes, I do have that number. So, for mechanical we are at hard parts was 27%, replacement parts was 67%, and performance was 6%. So, it's basically flat year-over-year, a hair down sequential, but I wouldn't read too much into the minor fluctuations. Over the long run, the goal is still to be at that, call it, 45% to 50% mechanical, 45% to 50% collision, and that last, 5% to 10%, performance accessories. That's the target long-term goal.
Ryan Meyers: Right, makes sense. Next one for me. Have you seen any labor challenges ramping up either the distribution centers in Grand Prairie or Jacksonville?
David Meniane: Yes, I think every retailer in anyone in the industrial warehouse space is always competing for talents. I think we're always looking to number one, have a safe environment, building a great culture, great values, diversity, inclusion, equality, so we're constantly investing in that. We've also done a good job at setting a compensation structure that incentivizes performance, where we do gain sharing and referral bonuses, retention, bonuses, you know, I think there's a lot of different things that you can do. But ultimately, I think that our warehouse associates are bought into the vision, they're bought into the business that we're trying to build and really a big part of the culture. For us, we always see ourselves as a supply chain company first and the warehouse teams are really the heart of our company.
Ryan Meyers: Got it, makes sense. And then last one for me just kind of touching on the Do-it-for Me offering, pretty helpful to hear some of the positive commentary on that. What sort of feedback have you guys gotten from not only just your customers, but mechanics that you have partnered with whether it's adding customers that they wouldn't have thought that they would have gotten just kind of walk us through that the partnership with mechanics you're using for the DIFM offering?
David Meniane: Yes, for this phase of the initiative, we really partnered with mechanics that are already pre-bought in to the fact that they're the customer is going to bring in the parts. So, part of making the initiative a success, at least, for this phase, is to have a pre-selection of mechanics that already know that customers are going to come in. And the scheduling and trend is transparent, and the zip codes and the part names and categories that we're focusing on. So, there's been a lot of communication up front, so that there's no surprises at the mechanic. Now, obviously, it's a new experience and no one has done it before. So, still working out the kinks. But overall, the feedback has been great. And frankly, I'm excited about the feedback from the customer, because it gives them an alternative, if they don't feel comfortable doing the repair themselves, they have this option and also targeting another subset of customers that maybe doesn't feel like doing the repair themselves. So, for us expanding that addressable market is what excites me the most.
Ryan Meyers: Got it. Thanks, guys.
Operator: [technical difficulty] Ryan Sigdahl from Craig-Hallum
Ryan Sigdahl: Curious on the gross margins, so really sold this quarter, but as you think about kind of all the costs inflation and the moving pieces between how much cargo containers cost coming from China so on and so forth. With FIFO accounting, anything to be aware of kind of as we model gross margin going forward or is Q1, Q2 good run rates, kind of, as you look about the movement in the cost structure in your inventory?
Ryan Lockwood: Sure, yes. Thanks, Ryan. Obviously, we can only say this, but we think about gross margins, EBITDA margins, we always really take a step back and look at it over multiple quarters in the full year. So, that being said, you know, we do feel still very good about the margin for the remainder of the year. For Q2, we were obviously up sequentially and year-over-year on a nominal basis. As far as container pressures go, we are mostly hedged. So -- and our hedges are very attractive rates. So, I think we feel very comfortable there as well as far as the remainder of the year. And then obviously, next year, I think, going back to our history over the last three years, no matter what has happened, we've generally done a great job working through it. So, I think whatever kind of pressures the environment might throw at us in 2023, I'm pretty confident our team can handle it.
Ryan Sigdahl: Good. You talked about profitable growth, big focus or increased focus, at least in the near-term. When we look at kind, of, the seasonally softer back half of the year, you think you can still stay profitable if you're willing to comment on that?
Ryan Lockwood: As far as profitability, absolutely. It's a laser focus to balance that back half growth with profitability. So, we do believe we will be profitable the back half.
Ryan Sigdahl: Just to clarify, are you talking EBIDTA or net income?
Ryan Lockwood: Adjusted EBITDA margin and nominal?
Ryan Sigdahl: Great. Thanks. And David maybe a question for you, I've seen some of these tech forward companies that are starting to lay-off people, some good talent out there, and I've seen you kind of go open arms embracing them if they want to come work for CarParts. I guess, have you seen any success with that? Then also, you mentioned a little bit -- but talk through kind of your retention of your existing employee base?
David Meniane: Yes, I think listen, we've made significant investments in building a culture. We're a culture that rewards discipline, excellence, and high performance. I think our turnover has been significantly lower than some of our competitors. I have been pretty public and our will to higher balance. For me, we're trying to build an expectational business and that starts with hiring the best people; hiring, training, developing, retaining. So, we had good success. Obviously, if there's good talent out there, in critical? Yes, we want it. So, this is going to be a commercial for CarParts.com, I would go to CarParts.com/career. And if you have an exceptional friend and you're willing to work extremely hard to build an exceptional business, I think we can be a great destination.
Ryan Sigdahl: Next miss an opportunity. I like it. Maybe last question for me is as you shift into the Do-It-For Me, can you talk through the mechanics, a little bit of that, I guess how you see the puts/takes from one marketing that? And I realized it's not as much this year, but kind of as you look to next year, marketing that product, selling that product, and then how that flows through -- kind of, will flow through from a P&L from a revenue standpoint, margin standpoint?
David Meniane: Ryan maybe I'll take that one. So, for me, I always think about DIFM in two phases. So, right now we're in this short-term phase, where we're focused on the customer experience. And really, if you think about it, there's no place that customers can go that they trust to get their car repaired in a single destination. If you have a car in warranty, you go to the dealership, but that's a very small fraction of actual regular people. So, our goal is to get it right for the customer and take that stress out of car repair. And that's the phase we're in. Obviously, once we get this nailed down, then the next phase is to scale the offering, scale the market, scale the bookings, and with that obviously comes marketing.
Ryan Sigdahl: Good. Thanks guys. Good luck. Nice quarter.
David Meniane: Thanks Ryan. I appreciate it.
Operator: Thank you. This [technical difficulty] conference call. [technical difficulty]